Operator: All participants thank you for standby, the conference is ready to begin. Good afternoon, ladies and gentlemen. Welcome to 2014 Fourth Quarter and Year-End Earnings Results Call. Today’s conference call contains forward-looking information about Yellow Pages' outlook, objectives and strategy. These statements are based on assumptions and are subject to important risks and uncertainties. Yellow Pages' actual results could differ materially from expectations discussed. The details of Yellow Pages' caution regarding forward-looking information including key assumptions and risks can be found in Yellow Pages’ Management Discussion and Analysis for the third quarter of 2014. This call is being recorded and webcasted, and all of the disclosure documents are available on the company’s website and on SEDAR. I would now like to turn the meeting over to Mr. Julien Billot, President and Chief Executive Officer. Please go ahead, Mr. Billot.
Julien Billot: Thank you, Eric, and good afternoon, everyone. And welcome to Yellow Pages Limited’s full year and fourth quarter conference call. Joining me today is Ginette Maillé, Chief Financial Officer of Yellow Pages. Our mission statement as an organization remains unchanged. We exist to champion the local neighborhood economy. We accomplished this by enabling Canada’s businesses and its consumers to connect interact and build relationships like never before. Our goal is to bring Yellow Pages to become the leading local digital media company in Canada. The Return to Growth Plan was established in April 2014 to help us achieve this objective. The plan helps strengthen our brand, digital media properties and customer experience to ultimately promote customer count, revenue and EBITDA growth. We are very proud of the progress we have made in the execution of our return to growth plan. Over the course of 2014, the organization improved broader section, high key talent, rollout technologies and establish the processes required to build and operate the standard of digital business. In fact significant milestone were achieve during the year. First, digital revenues are now in excess of print, has increased over 50% in 2014 and 54% during its fourth quarter. Our digital revenues also continued to show healthy growth up 9% year-over-year for both the fourth quarter and full year of 2014. Second, total digital visit across our network of media properties grew 7% in 2914 to reach over 434 million visits. For the fourth quarter visits grew over 14% to which one with 17 million. Third, that it was negative fronts in customer acquisition. In 2014, the company acquired 22,100 new customers. This is ahead of our 200,000 target and 2013 acquisition level of 15,000 to 15,200 new customers. And fourth, debt repayment exceeded out minimum mandatory requirements. In 2014, we repaid a total of $140 million on our Senior Secured Notes well above the 125 million minimum for 2014 and 2015 combined. Our return to go plan is focused on strengthening three core pillars, our brand, digital media properties and customer value proposition. Our investments in branding, that’s improving digital perception and increase our adoption of our digital media and marketing solutions, the number of initiative overall throughout 2014 to address these specific needs. A television campaign ran nationally from April to June 2014, followed by out-of-home and digital campaign in Toronto, Montreal, Calgary and Vancouver. This introduced Canadians to the new user functionalities available on the YP mobile app and result in a growth in wellness, downloads and usage across Canada most populated urban markets. We also took the opportunity to simplify the company’s brand architecture. The YP acronym is significantly more visible across our network of digital properties. For example, Yellow Pages.ca was renamed YPLCA, Y Shopwise now bear the name of YP Shopwise. Wall-To-Wall, our real estate vertical was also recently renamed YP Next Home. YP is modern and easier to remember, allowing us to leveraging the trends of the YP brand as we verticalize and introduce new digital media properties. [indiscernible] that the company’s holding name change from Yellow Media Limited to Yellow Pages Limited. This name change took effect on December 31, 2014 as well Yellow Pages names resonates more closing with merchants and shoppers at the trustworthy marketing partner and source of local business information. Lastly, mass media and total marketing campaigns were launched to few customer acquisition and promote returns of some of our digital solutions. One of our more successful initiative of the neighborhood was held across the large number of neighborhoods in Toronto, Montreal, Vancouver, Calgary and Vancouver on November 29, 2014. This celebrates more businesses and encourage local shopping, so the neighborhood was held with many Canadian shop in the U.S. to take rented on black Friday and cyber Monday deals. The events are having significant following from local media and celebrities. Most importantly, the participation of 200 business association and Chambers of Commerce in addition to 8,000 local businesses was applauded 6,000 deals exclusive to YP’s digital properties. Now on the media side; today placement products across the company’s digital media properties represent over 60% of digital revenues. They also remained the most profitable of our digital solutions. Growing traffic across our digital media properties is therefore key in promoting customer retention and growth in revenues and profitability. In 2014, total digital visits which measure the traffic across our YP rest of these YP Shopwise and Canada411 online and mobile properties grew 7% to 424 million visits. For the fourth quarter, visit grew by 14% to which 117 million. Our strategy remains focused on richer content across our digital properties like also verticalizing our media for broaden coverage of the customers. In 2014, the company hired over 300 digital media an ISIT professionals as well as opened new offices in Montreal and Toronto to get mobilized the digital media teams. Our digital media properties, I want to go to full revamp in 2014. Our business sub-sights now are for uses an easy way navigate and more dynamic search functionalities and quicker response times. In addition, the quality and quantity accountant has increased significantly. [indiscernible] close to all sell and duplicate business visiting and also on which local neighborhood discovery close to 480,000 merchant profiles are now live in our sites containing information such as pictures, vides, website links, mapping functionalities, dealers’ ratings and reviews. Different pieces already showed content will also publish to help users make more educated and inform local shopping decision. Over 7,500 business stories, smart tips and playlist are now available in the YP.ca. Consequently, we’re quite proud of the industry recognition of digital properties received in 2014. The YP mobile application was selected as one of Apple’s Best New Apps of 2014 that included in Google Plays best of 2014 editors list. Verticalization is more and more the core of our long term digital media strategy. Users’ behavior continues to be very targeted as mobile and tabled users required differentiated content and experience to meet their various shopping needs. In addition that exist significant monetization potential in the shopping, dining, home services and leisure verticals as these heading are underpenetrated by YP with highly traffic by Canadian consumers. In reference, we launched new properties although the course of 2015. YP Shopwise was the first vertical to be launched on this street. The design version of the mobile application introducing October 2015. Features best app during its first week of release. YP Shopwise contains a redesign homepage easier to navigate and flyers for approximately 50 retailers available for download. Yellow Pages will also leverage its recent acquisition Bookenda and dine.TO to accelerate the development of its new verticals. Dine.TO will play an important role in upcoming dining vertical. The company owns Yellow Pages local digital restaurant guides with the Toronto area providing users with an expensive database of local restaurants listings, reviews, deals, playlist and events as well as real time all life abilities. Bookenda on the other hand offers users access to online ordering and booking functionalities. Their proprietary platform and technologies we introduce retail functionalities across our new verticals providing shoppers with the ability to book and buy services directly from our suite of applications. Now on to our customers’ value proposition. The company’s renew performance remained highly correlated with this customer account. Ultimately growth in revenues cannot be achieved resulted growth into customer count. As at December 31, 2014, our total customer count reached 256,000. This compares to 276, 000 at the end of 2013. We’ve remained encourage by the efforts in place to growth and protect our customer based. The decline in customer count continues to diminish with 20,000 customers lost in 2014 relative to 33,000 lost the year prior. Most notably, our customer acquisition labels continue to accelerate. YP acquired 22,100 new customers in 2014 and 15,200 in 2013 and 20,200 for the 12 month period and at September 30, 2014. This figure also lets well above our position target of 20,000 new customers for 2014. In 2014, we promoted customers acquisition by our call center acquisition teams and launching various incentive programs to compensate our sales reps for self-respecting and leads compression. The company’s business center has also evolved. In 2014, the sales channel was introduced on the business center allowing prospective customers to claim their businesses listings at minutes the content online. The business center now also hosts event YP Analytics equipped with a fresh user experience simplify navigation and improve reporting metrics and margins sites. We’ll continue to investing on sales channel to promote the achievement of 30,000 new customers in 2015. New functionalities were integrated within the company’s customer relationship management platform Salesforce.com to - totally improved self-respecting, flexibility in leadership assignment and then hence visibility of the conversion. The business center will also become fully functional self-platform providing us to self-selling, to start functionalities and lending pages to optimize who leads conversion. On the product front, we continue to trial new offering that better gives the needs of local SMEs. The national level content management and syndication solution will be launched at 2015 to help new customers build and maintain the more complete digital presence. For this new service, Yellow Page with enter SME’s merchant information appears into consistent manner across the vast network of digital properties outside those old and operated by YP. Investments also in place, we improve the customer experience and protect retention levels. Customer retention remain relatively stable year-over-year reaching 84% in 2014 as compared to 85% in 2013. The adduction of the YP 360 Solution define customer for trading three or more product categories continues to support current retention levels. Renewal YP 360 Solution customers which 90% for the 12 month period ended December 31, 2014 up from 82% the more normal YP 360 Solution customer. YP 360 Solution penetration also move to 37% as at December 31, 2014, up from 27% for the same in 2017 - 10%. In contraction, we continue to keep our sales, customer service and digital fulfillment teams with the tools and technologies required to promote an improved to end customers. Our sales channel are now using new customer facing dashboards that minimize correct time and promote an improve sales. Customer excellence teams have also growth and gain access to tools that promotes streamline customer interaction and more rapid issue resolution time. Lastly, the new business process management system will also introduce within our digital fulfillment teams offering a more robust order management procedure to promote the quality and timing delivery of website solutions. All these initiatives, we’ll continue to be rollout throughout 2015 to promote improve customer satisfaction levels across all of our customer segment. Let me now pass the floor over Ginette, who will review full year and fourth quarter 2014 results.
Ginette Maillé: Thank you, Julien. Revenues decline 9.7% and 9.5% in the fourth quarter to reach 878 million and 215 million respectively. Revenues remain mainly impacted by the overall loss of customers. Prints revenue performance continues to exceed expectation has declined have now stabilized. Prints revenue decrease 23% in 2014 and for the fourth quarter, Prints revenues decline by 25%. Prints revenue declines in the fourth quarter however were adversely impacted by 4 million of non-recurring revenues recorded in Q4 of 2013. Excluding these non-recurring revenues, fourth quarter Print revenue declined by 22%. The company remains active in projecting revenues sourced from its Print platform. Over the course of 2014, the company launched the Print Product Simplification initiative in rural market which served its protect customer renewal and usage of the Print directory. PPS offers customers increased print advertisement sizes at little to no incremental cost, while also simplifying the selling process for its sales reps by reducing the number of print offers available for sale. Following its success in rural markets, the PPS initiative will be rolled out across the majority of Canada’s rural and urban markets in 2015. Digital revenues reached 443 million in 2014, up 9% year-over-year. For the fourth quarter, digital revenues grew 9% to reach 117 million. For the first time in the company’s history, digital revenues exceeded print revenues to represent 50% and 54% of total revenues for the full year and fourth quarter of 2014 respectively. Digital revenues at YP core which exclude the contribution of Mediative, YP Next Home formally Wall-To-Wall and 411 increased by 9% in 2014. For the fourth quarter of 2014, YP core digital revenues increased by 7%. Digital revenue growth remains driven by the migration of print revenues to the company’s comprehensive suite of digital solution as well as like customer acquisition. Digital revenue growth at YP core however decelerated relative to the third quarter of 2014, mainly explained by a decline in prints to digital revenue migration among our legacy customers. New sources of digital revenues will come principally from accelerated customer acquisition. The contribution of Mediative, YP Next Home and 411 are becoming increasingly important as we execute our return to growth plan as these entities provide us with access to new sources of customers and digital revenue. We continue to invest in our Mediative division and have made leadership changes over the course of 2014 to promote improved servicing and revenue growth from high end national account. Through our Mediative division, YP will be able to leverage revenue growth from national brands and account such as Wal-Mart and Avis who rely on Mediative digital marketing innovation and expertise to meet their key advertising needs. Investments also continue to be made at YP Next Home to grow traffic and ultimately placement revenues across its renters guide, new home and home guild digital property. In addition, following its acquisition in June 2014, 411 now provides YP with a large pool of small to medium sized customers to target as a material number of 411’s customers do not yet do business with YP. EBITDA exceeded our expectations declining to 316 million in 2014 as compared to 416 million for the same period in 2013. For the fourth quarter, EBITDA decline to 65 million down from 91 million the year prior. EBITDA pressure is primarily explained by lower revenues and a lower EBITDA margin. The EBITDA margin in 2014 reached 36% as compared 43% in 2013. For the fourth quarter, the EBITDA margin decline to 30% in 2014 from 38% the year prior. Lower print revenues and investments related to the company’s return to growth plan were the main contributors to the decrease in EBITDA margin. As anticipated, the company materially accelerated investments in the fourth quarter of 2014 to promote timely execution of its feature to grow plan. These investments were focused on branding digital media development and customer acquisition as well as program management expenses related to the launch of new product, development of enhanced customer service and reengineering of operational processes. The company will continue to make elevated levels of operational investments throughout 2015 as it execute on its digital transformation. However on an annualized basis, EBITDA margins will be maintained in the 30% to 35% range. Starting in 2016, the company’s EBITDA margins will be further supported by the realization of various operational efficiencies. On the print side, we have implemented a more targeted print distribution strategy to maintain the alignment of our print cost structure with declining print revenues. We have decided to partially in source distribution efforts. In addition, we have eliminated the distribution of directories in select markets to better align consumer usage we demand. We are also consolidating and decommissioning our legacy print publishing platform and replacing aging ISIT data centers to reduce costs and increase agility of our corporate system. Lastly, the company is investing to realize efficiencies in digital product fulfillment through the implementation of new workflow management processes. Overall, these projects are anticipated to general material cost savings by late 2015 roughly in the neighborhood of 20 million to 25 million annually. The company recorded net earnings of 189 million in 2014. This compares to net earnings of 177 million the year prior. For the fourth quarter, net earnings grew from 31 million in 2013 to 95 million in 2014. This is explained by lower EBITDA more than offset by an income tax recovery of 85 million recorded in 2014 related to the cancelation of various income tax liabilities following the settlement of tax assessments. Free cash flow in 2014 reached 73 million as compared to 275 million in 2013. The decrease is mainly attributable to lower EBITDA a more stable level of working capital, higher income tax has paid in 2014 as the company was not required to pay income tax installments in 2013 and higher capital expenditures. Capital expenditures in 2014 totally 84 million, up from 66 million the year prior. Similar dynamics apply to the fourth quarter where the company utilized four million of free cash flow as compared to free cash flow generation of 74 million the year prior. The decrease in free cash flow was mainly explained by lower EBITDA, timing in the payment of certain accounts payable as well as higher capital expenditure. Capital expenditures during the fourth quarter of 2014 totally 34 million, up from 14 million the year prior. The material increase is explained accelerated levels of investments made to support the timely execution of the return to growth plan. Despite pressure on free cash flow, the company continues to have the financial flexibility necessary to strengthen its capital structure. In 2014, mandatory redemption payments on our senior notes totally 140 million surpassing the minimum requirement of 125 million for both 2014 and 2015 combined. Our cash free payment, we anticipate an addition debt reduction of approximately 100 million in 2015 bringing at outstanding balance of senior note to approximately 400 million by year end. This means that by the end of 2015, the company would have already repaid half of its outstanding senior note bringing net debt excluding exchangeable debentures to approximately 300 million while investing to position YP for future growth. I will now allow Julien to provide his concluding remarks.
Julien Billot: Thank you, Ginette. Overall, we have made significant progress in the implementation of Return to Growth plan. We strengthen our brand and improved digital perception invested in our media and grew digital traffic and focus of the customer’s needs to reverse the trend in customer acquisition and enhance the end-to-end customer journey. Our investments in branding digital media and the customer value proposition, we will continue in 2015 all returning our company to revenue and EBITDA growth in 2018. Most importantly, the company it’s long term financial outlook relative to the Return to Growth plan specifically digital revenue growth in anticipated to be maintained in the high single digit for 2015 and thereafter. Although 2015 EBITDA will remain under pressure relative to 2014, as investments are made to accelerate to company’s digital transformation. EBITDA margins will be maintained between 30% and 35% for 2015 and thereafter. Capital expenditures, our products to reach between $70 million and $75 million in 2015, thereafter capital expenditures as a percentage of total revenue will gradually decline to stabilize at approximately 5% by 2018. The Return To Growth plan remains fully funded plan allowing the company to support required personal and capital expenditures while materially delivering the balance sheet. We look forward to sharing continued progress in our transformation as it unfolds and we keep you up to date on the core KPI that outline the progress of our plan. Well thank you again for taking the time to listen this afternoon. I would now to pass the call over to Eric to collect your questions.
Q - Aravinda Galappatthige: Thank you. Thanks for taking my question. I just start with the customer acquisitions obviously continues to take up. I was wondering if you could talk to sort of the different verticals that some of the new custom acquisitions have been sourced, I know that it’s part of the strategy to more in to sort of the retail shopping, real estate areas that have been, did you had lower penetration there in the past. Can you just talk to the traction that you are getting in those verticals given some of your recent initiatives?
Julien Billot: Hi Aravinda, I think it’s a very good question. So the customer acquisition from, it’s fair to say in 2014, most of our acquisition were made I would say our traditional segments and that’s why we’re able to increase to acquisition but we are far away the level we want to be in the future. And in 2015, our goal is really to grow acquisition numbers of segments, that’s why basically we acquire new companies typically in the restaurant segment because we know we just 2% market share in the restaurant segment, so we can try a lot of growth there, which will go to the case of vertical. So we say 2015 for us will be the first year, when we really grow acquisition on new segments which are not very much represent customer base and obviously this will accelerate overtime because of course our final target on acquisition is not to remain at 30,000 acquisition. So it not happened completed in 2014, it’s going to happen beginning 2015.
Aravinda Galappatthige: Thanks Julien. And then I guess just related to that, you talked, I just wanted to get a sense of an update on the sales force the additional hiring in 2014 sort of beginning and end, just get a sense of what by how much it expanded and I know that you referred to in your prepared comments the addition of about I think you said 300 digital professional, are you refereeing, is a part of that sales force or is that different group that kind of shadows the sales activity?
Julien Billot: Actually it’s a different group, when we are talking about digital professional we are mainly targeting people working on the media side. So to be more preside in that what we did on media, you know more younger people, different people that one we had in organization, so we took different location, one in King Street Western Toronto, the other in old Montreal more bricks type of buildings to put this people, so mainly this people are mainly ISIT people and media people to build our new digital properties in a digital almost field qualified. On the sales side, actually it’s remained relatively stable. We change people, so some previous people, face-to-face people, older people left the company and we replace them by different people younger people mainly working on call centers. So it was more change in the mix of the salespeople we had and we did that over the time of 2014 to build acquisition teams on call center both in Quebec, Toronto and Vancouver.
Aravinda Galappatthige: Okay, great. And just with respect to the outlook the two main items around the maintaining digital growth that sort of high single digit territory and also maintaining the margin, if I guess I’ll start with the first part, you know we’ve obviously seen some slippage in terms of sort of core digital growth to 6.5%, how of visibility do you have at sort of this stage, we kind of take in February that you could maintain that high single target?
Julien Billot: I mean what’s happening in customer based and Ginette will complete my point is, what’s happening is we have an historical base, on this historical customer base, what we had for years and years and years that’s obviously the base which has prints and digital and digital was based at the expense of prints. So what’s happening right now is exactly where we wanted to be on this customer base but print is actually the decline is slowing down and so that has some impact on the digital, because both are related, that’s what we expect in return to growth basically. So to sustain and fuel our digital growth, whatever happens on the print side, we have to build new customer base and that’s why we are going to verticalization and new segment. So what you will see overtime that’s why we are confident that we can maintain this high single digit growth of digital revenues is we are building this new sure for growth and engine for growth on this new segment and that will help us to fuel our digital growth. So that will come from media team, it will come from 411, it will come also from YP Next Home on the real estate verticals, it will come from our new restaurant vertical and so that will help to grow our digital revenues and at the same time it will not be at the expense of limiting our print decline. So that this work, we tend work and that’s what really what we see happening at the end of 2014 decline, a little less digital growth but that’s why we think in 2015 with all the efforts we are doing our verticalization and all our digital properties, we can maintain high single digit growth in digital revenue and also have a less decline in print than anticipated.
Ginette Maillé: Yeah 25 major and is alluded to given the progress that we are seeing on the transformation. We are confident that we can maintain that high single digit digital revenue growth in 2015.
Aravinda Galappatthige: Okay, great. And then I guess just with respect to the margins, you are at 30% now, so the bottom-end of your margin range that you talked about in financial outlook. As you think about maintaining within that range, the cost reduction you talked, I don’t know in the call you alluded to helping you out in this in 2016, is that - some of that actually available to you in the second half of the year, because I just wanted to get some color on how you plan to sort of made these margins within this range 30% to 35%?
Ginette Maillé: Yeah, so if we refer to the investment that we have and the savings that we foresee, the initiatives will be delivered progressively throughout the year in some cases and in some other it will really be at the end of the year. So we will some of it in 2015 but I would say the bulk of it will really be realized in 2015. So when we look at the margin, we had said that Q4 would really be a reset heavy investment, I would - I wanted to tell you that 2015 will still be heavily, we will be heavily investing in the transformation and the margin will mostly be in the low end of our 30% to 35% range.
Julien Billot: Meantime it’s fair to say that we limit a yearly market not a quarterly margin, so I will see the margin in Q4 couldn’t be representative of the total margin of year, because we maintaining yearly margin, so.
Aravinda Galappatthige: I see. Okay, thanks. Last question for me with respect to the taxes, I was wondering if you can take us through sort of the cash tax adjustment, I know that you are originally looking for 10 million in 2015, it seems that you have picked up to 30 and also related to that would ’16 again be a kind of a double tax year. I just wanted to get some clarity on that?
Ginette Maillé: Okay, well actually when you look at the 35 million, it is in bracket, so what’s interesting is that this will a benefit, we will collecting an amount in 2015. So I’ll just give you some color, basically we had been going through negotiation and there were some disputes on the value that was attributed to the trademark and we finally settled with the fact the authority and it allows us to expect cash of approximately 45 million to come in 2015. So it’s basically - when you look at the recovery of 35 million in terms of cash income taxes, it’s cash in of approximately 47 million let’s say and we will be paying out 12 million. So the 10 million you were referring to is now a $12 million but it’s been totally offset by the recovery of resulting from an income tax settlement of 47 million.
Aravinda Galappatthige: Alright, so the 30 million, I was referring to the page eight on your supplementary where you give the tax section where you’ve indicated the outflow would 30 million, so that’s just a component of it, am I right Ginette?
Ginette Maillé: Yeah, so when you look at the 35 million, it’s in bracket, so it’s an inflow.
Aravinda Galappatthige: Okay, we’re probably looking at different pages here but I can take it up offline but I understand what you are saying.
Ginette Maillé: Yeah, if you look at note six of the supplemental, you will notice that it’s a 35 million cash inflow which is very good news.
Aravinda Galappatthige: Okay, great, thank you, ,Ginetter, I’ll leave there.
Ginette Maillé: Thanks, very good.
Operator: Thank you. [Operator Instructions] And the next question is coming from Haran Posner from RBC Capital Markets. Please go ahead, your line is open.
Haran Posner: Yeah, thanks very much, good afternoon. Ginette, maybe just a follow-up on Aravinda’s question on the taxes, so just to be clear, is there anything lasted at all to settle on this or is it now done?
Ginette Maillé: Well, that was one element that we were disputing. I would tell you that on another front, we have one last one, so there is still some discussions on another year of assessment but it will never be at the level that we’ve seen with this one. So it would be much lower. We hope to have a positive outcome but it will never as positive as what you see here. But we still have one assessment to finalize.
Haran Posner: Okay, now that’s helpful. A question of the small acquisition that you completed late last year, I guess I am just curious on two fronts whether they expects contribute sort of any meaningful revenue to you and then with respect to traffic, I guess you reported pretty nice growth in total traffic and I am wondering whether they had an impact on that?
Ginette Maillé: Okay, so maybe I can talk about the revenue piece. Actually these are very small tuck-in small acquisition that’s were acquire not so much as a revenue play and I will let Julien talk about this. So when you look at any forecast relative to the revenue to be generated by these two entities in 2015, it is minimal.
Julien Billot: Yeah the traffic side, this traffic was included now 2014 figures, so 2014 is just the parameter we said in the call so without this acquisition. The major reason why we bought this company is not really like to traffic revenue, it’s mainly capabilities, management and ability to really create a vertical business unit I would say. So the companies dine.TO, Bookenda that has very good solution, actually they have customers that are very deep noted over the restaurant industry some the founder of dine.TO were from the family of restaurant people owning restaurant themselves, so they know very well this industry, they have customers, they know they have very good technical solution both on the frontend and the backend. And so our world is where to leverage these companies and help them grow. And the idea for us is way to build restaurants and have this company grow, if you take dine.TO from Toronto completely out of Quebec and West Canada so we have them grow and find new traffic, new customers in Quebec and Western Canada. Bookenda very strong in Quebec, still to be more present in Toronto and Western Canada, so exactly the reverse. So the idea is, the reason why we bought this company is to create an asset we can really leverage and grow. So that’s what the major reason what we bought them not the existing business by itself.
Haran Posner: Okay, now that’s great. And then I guess with respect to the digital growth the 6.5% on a core YP, just I am clear on RTG and the targets, when you talk about high single digital growth, is that reflective of the core YP or is that everything including throughout the quarter?
Julien Billot: It’s included - you know as I said the story of return to growth that’s how we design the plan is to consider that on the YP historical base and they will all the digital world assured by print migration. So the reverse, if we through on plans but less print to digital migration, so let underlying digital growth. So overall our plan in return to growth was built on building new customer base aside of the historical customer base by going more and more verticalized. So that why we focus so much on acquisition because acquisition obviously our new target, that’s why we both companies in the restaurant field, that’s why we are investing money into Wall-to-Wall become YP Next Home on the real estate vertical, that’s why we’re putting money into media team. So all that effort is to build, to use, to really cover the market much more than we are covering today just with YP core. So on return to growth, the target we have for return to growth is with returning the total company to grow not return just YP core to grow. And I mean that’s really the Return to Growth plan. So on YP core plus that’s why we are taking more and more total digital growth of course embedding YP core and YP core is huge role to play into because obviously it a huge part of our digital revenues that will to complement that growth with all the growth coming from all our new segments, new customer segments because we know we can find on these segments. Say differently, it’s more easy for us to double the size of dine.TO that to grow YP core at 2%.
Haran Posner: For sure, I totally understood. That’s great, thanks for that color. I guess one other question on the print distribution side, obviously you made the decision to stop doorstep delivery in some markets. So I am just curious I mean there is obviously a cost benefit and that’s where you are doing this. But in terms of revenue perspective should this now sort of have an impact on print?
Julien Billot: I mean I think it was largely misunderstood what we are doing, so that’s - thank you for the opportunity to rephrase what we are doing. Basically what we - when I arrived what I did I put a new Vice President in charge to print to reassess the situation of what we were doing. And what we discover all the time is we actually where this just pretty book where people didn’t read the book, that’s very simple. So what we did is we absolutely committed to maintain print distributed door-to-door in the largest part of the country because print is mass media and we absolutely flow to maintain this. But what happened in certain neighborhoods, certain buildings, certain streets sometimes is we know that people are not reading the books we provide them, so they are just eliminating that. So from the customer perspective that would sense nothing because we are distributing books to people who are not reading this book, so underwriting any traffic. So to do that actually we made a lot of study. We completely re-insourced our distribution at least brain of our distribution to be certainly much more clever than we were in the past in distributing the right books to the people who are likely to read them. So that what we did and so actually we know in certain zone in Toronto typically people or certain buildings or certain streets, people are not reading books, so we are still distributing and of course we are going to follow the traffic number we have in our core measurement to be show that we did the right decision. But what we see today is we have absolutely no impact of course and so absolutely no impact on return on investment for advertisers. Basically we just do what we did in years and years and years which is addressing distribution to real usage. And so basically we never had any impact on business because we are just taking out of the market books that what not read by people.
Haran Posner: That’s great, thanks for clarifying that. And then I guess last question for me. Just you’ve alluded to on the call the difference in retention between you YP 360 customers and the other customers and I guess the overall retention rate did drop to 84% I guess from 85%. So I am just curious if you can help us just reconcile the two as you continue to ramp up YP 360?
Julien Billot: Yeah, actually is 1% but it’s less than that, it’s just the - it’s more 84 point something to 83.9, so it’s less than 1%, actually the difference is more around the figures. Actually it’s - YP 360 customer is increasing, at the same time we know that we have some small customers with the higher churn rate. So actually churn rate was better than expected it was in 2914, it was better than expected because digital-only customers come in, we had an improvement of churn on digital-only customers in comparing to last year, but it’s just a mix effect overall. The mix effect is we know digital customers turn a little more than print-only customers. And so as we replace overtime print-only customer by digital-only customers that pairs and back in turn. In our plan, we never anticipated to maintain churn. I our plan we anticipate the churn will go down slightly. So actually 2014 was more pleasant surprise than news was because it was better than expected and that’s why actually want to ramp up on the acquisition side to compensate the effect of churn because we know ultimately the play on digital will create more churn than the play of print. So actually churn in 2015 has good news for the company because print decline less than we expected, lesser than we expected.
Haran Posner: Got it, thanks a lot for your answers.
Operator: Thank you. There are no further questions registered at this time. I’d like to turn the meeting back over to Mr. Billot.
Julien Billot: Okay, so we want to thank you for your attendance. We look forward to speaking again in May as we report on Q1 2015 results and host our Annual General Meeting here in Montreal. Thank you and good afternoon.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.